Executives:
 - : Hiroyuki Uemera - Corporate Officer and Managing Director Takakazu Momozuka - Corporate Officer Shigenao Ishiguro - Corporate Officer
Unidentified Company Representative: Thank you very much. First off, let me introduce the speakers of today’s meeting. And from the left from your side, Mr. Atsuo Kobayashi, the Senior Managing Director; and next Mr. Hiroyuki Uemera, that’s Corporate Officer and the Managing Director; and Mr. Takakazu Momozuka, Corporate Officer; and next, Mr. Shigenao Ishiguro, the Corporate Officer. Here on the floor are attendants from TDK Corporation. Thank you very much. Today, first of all, Mr. Takakazu Momozuka is going to present about the consolidated result for Q3 and consolidated full-year projections. After the presentations, we’d like to open the floor to the question from you. Thank you very much. Okay, Mr. Takakazu Momozuka, please.
Takakazu Momozuka: I’m Momozuka. Thank you very much for joining us today in your busy schedule and thank you very much again. Okay. From now on, I am going to talk about the Consolidated Results for Q3 of Fiscal Year March 2015. First of all, the highlights of the operating results of Q3. And when it comes to the net sales and we have the record high net sales for both Q3 and nine-months period, particularly for the Q3, and we have the record high net sales for all of our segments, including the passive components, magnetic applications, the film applications due to the favorable business in IC market and mainly for the smartphone. When it comes to the operating income for the nine-months period, have increased by 52% to the 53.1 billion yen. And automotive and ICT and industrials, these are the three focused business areas, and all these three segments and we could establish that’s a balanced earnings structure. And due to this and that would leave to that upward revision of the full-year business projections, and then also we plan to increase that the year-end dividend by 10 yen per share. And also in this Q3, in the magnet business and the impaired loss mainly for metal magnets-related facilities and also in the power supply business, we recognized the impairment loss of goodwill in total 5.3 billion yen. Next, let me talk about the performance results of the Q3. And we have about 300.4 billion yen in net sales and it grew by 16.3% spiked to 42.2 billion yen. Our operating income was 25.2 billion yen. It was up 40.8% or 7.3 billion yen. And operating income margin was 8.4%. It was 1.4 points growth. And the income from the continuing operations before the income tax was 22.2 billion yen, and the net income was 16.4 billion yen. And earnings per share was 130.24 yen. The average foreign exchange was 114.25 yen to the dollar and 13.8% of yen depreciation and to the euro 142.79 yen to the euro and 4.6% of depreciation of the yen. And when it comes to the sensitivity to this foreign exchange about and we have 22.92 billion yens of revenues and 1.4 billion yen of this. For the sensitivities of the currencies, just like this so far and for the dollar, change yens to the dollar after 1.4 billion yen operating incomes impacts. Next, let me talk about segment-wise the business performance of Q3. First of all, the passive component business. The net sales was 146.1 billion yen. It was 24.8% up year-on-year. And the operating income was 11.9 billion yen. It was 95.1% growth year-on-year. When it comes to passive components, and also in Q1 and Q2 and also in this Q3, we have the record high net sales. When we look at each of the sub-segments, when it comes to ceramic capacitors and now we have the steady markets of the automotive businesses, and now also we have improved the margins due to the improvement in productivity. When it comes to the inductive devices and the based on the strong demand in the smartphone in the North American and China and ICT market have been favorable as well as steady market and automotive markets. And also we have the improvements of utilizations. When it comes to the high frequency components, mainly for the discrete products for the North America and China markets, market in China for the smartphone has been favorable and also with improvements of the productivity as well as the product mix contributed a lot for this profit and revenues. Also for that piezoelectric material products, that had favorable and camera module or VCM and the automotive components had been very fine. Next, let me talk about the magnetic application products. The sales of 101.6 billion and 6.2% year-on-year growth. And the operating income was 7.3 billion. It was 29.1% minus year-on-year. But when it comes to this income growth, I mentioned about 5.3 billion yen of impaired loss was included. So when it comes to HDD Heads, the recording devices, when it comes to volume of the shipments, it was just marginally increase year-on-year, but due to that improvement productivity and also we have incremental business of the data center business, now we have improvements in the product mix. So on year-on-year basis we have basically the growth in income. When it comes to magnet we have a decrease in the sales in automotive and ICT. And when it comes to metal magnets, since that now HDD market have been stagnant, but now HDD manufacturers now reduced the number of supply. So that’s why we have a loss here. So that’s why I mentioned earlier for the facilities for the metal magnets. We recognized about a 3.1 billion yen of impaired loss. And result of this and up to this power and industrial we would like to focus our resources on the automotive industry equipments for restructuring the business. Next the power supply. The semiconductor manufacturing equipments or the other industry equipments has been steady. On the other hand, when it comes to the - although we had the business - making the business profitable, but when it comes to that - and the operating income margin is now difficult to achieve, so that’s why we recognized the impaired loss on the goodwill. The part of the goodwill was recognized as impaired loss and was 2.2 billion yen. On the next slide, I would like to talk about the film application segment result. The net sales was 47.4 billion yen, up by 15.6%. And operating income was 9.6 billion yen, up by 41.2%. And for the energy devices, as well as those rechargeable batteries, we are able to provide new products for the new smartphones manufactured by our main customers and also the expansion of customer portfolio, contributed to the increase of sales as well as the operating income. And next I would like to talk about the breakdown of operating income changes. And they have the increase - there will be an increase of 7.3 billion yen. And looking at utilization rate and also the product mix, and this kind of changes in sales have resulted in positive 15.7 billion yen from the first half. There have been an increase of sales on the passive components for the automotive, as well as ICTs. And for the rechargeable batteries we are able to increase the sales to the smartphone market. And also for the HDD Heads, we are able to increase the sales to the data center and that has contributed to the improvement of profit. And due to the sales price reduction, there have been a negative 16.4 billion yen. Yen’s depreciation had contributed to 6.7 billion yen positive. And for the rationalization and for the cost reduction, there have been reduction in profits due to the wage increase, however for the HDD Heads, of the passive components and for the rechargeable batteries, we were able to have the improvement in productivity. In total, that had contributed to the positive 6.9 billion. For the restructuring there have been improvement of 0.6 billion yen. And for the SG&A increase, there have been a decrease in sales of assets of 1.3 billion yen which had resulted in 0.9 billion yen decline. For the magnets and for the power batteries, there have been an impairment loss of 5.3 billion yen. And looking at the quarterly results by segments, and I would like to talk about why it had contributed. And for the passive components, there had been improvement of 10.3% for the passive components in the sales, which had resulted in 146.1 billion yen. And including the capacitors sales in the third quarter in comparison to the previous quarter, there have been an improvement of 0.5%, which had resulted in 37.5 billion yen and we are able to have the steady increase in automotive market. With the inductive device, there had been an improvement of 3.9%, which had resulted in 40.3 billion yen. And we were able to have a peak production in the North America as well as the Chinese smartphone market, and also ICT improvement had contributed. For the other passive component, there have been an increase of 21.4%, which have resulted in 68.2 billion yen. As progressing [ph], there have been an increase of smartphone market in China as well as in the North America, which had resulted in increase of high frequency products. For the passive components, the operating income had seen an improvement of 2.1 billion yen which had resulted in 11.9 billion yen. And we had a steady demand in the smartphone market in China, as well as in the North American market. And also there have been contributor of sales increasing the ICT market also as well in the automotive market, and also yen’s depreciation had given positive impact. While the high frequency products in the first following two quarters, we are able to have the increase in the discrete products. And next talking about the magnetic application products. In the second quarter in comparison to the 90.4 billion yen, there have been an improvement of 12.4%, which had resulted in 101.6 billion yen. For the recording devices, there have been an improvement of 17.9% and result was 75.1 billion yen. And also there have been improvement in production of the drive and also there have been new line shipments for the data center had increased. And also there have been early shipment in the fifth quarter. And we are able to have more shipment volume for the HDD Heads. For the other magnetic application products, there had been a decline of 0.7%, which had resulted in 26.5 billion yen. Magnets as well as the power batteries for the industrial market, there hasn’t been any changes. However for the magnets for the automotive industry, there have been negative results. For the magnetic application product, the operating profit had resulted in 7.3 billion yen. With the recording device profit there have been an improvement due to the increase of shipment for the HDD Head. However, for the impairment loss for the magnets as well as in the power batteries, in total, we had seen a loss. For the film application products, the sales and operating income for the third quarter. For the film application products, we were able to see 27.4% increase which had resulted in 47.1 billion yen. Operating income has seen an improvement of 84.6%, which had resulted in 9.6 billion yen. The rechargeable battery sales had increased following the second quarter increase and also there had been expansion of customers, especially in the Chinese markets. Therefore we had seen increase of sales as well as the profits. For the other products, we have seen an increase of revenue by 500 million yen for the corporate and eliminations. In comparison to the second quarter, the third quarter had result of 3.8 billion yen and they’re having sales of properties of 700 million yen. Next, let me talk about the consolidated results through Q3 of FY March 2015. And the net sales was 802.7 billion and about 8.2% growth from the 60.7 billion in the last year. And the operating income was 53.1 billion, about 51.7% growth. And the net income was 34.5 billion yen. It advanced about 2.2x as much as the yen [ph]. Next, let me talk about priority market-wise information. When it comes to automotive, the North American market has been steady and also we could expand the sales of the passive components. Inductive devices, ceramics and ceramic capacitors and the passive components, all those products have increased the sales and we could achieve about 13.9% growth year-on-year. When it comes to ICT markets, now the passive components and the rechargeable batteries for North America and China - the market in China for the smartphone market have been dramatically increasing and also the HDD Head sales have increased and that’s why it would lead to the 7.4% growth year-on-year. The industry equipment and others have grown by 7.7% growth year-on-year. Next, let me talk about the recording device business. So this is about - when you look at this HDD markets, a 560 million is the total discs in the markets and for - well, we sent up to after 100 of the shipments and that’s the Q1 and the March 2014 800, and this index of this Q3 was 117, due to the forecast of 106. And our same index forecast in the Q4 would be 95. Next, let me talk about the full-year projection of FY March 2015. We have made revisions again this time. The sales would be 1,080 billion yen and operating income would be 70 billion yen, and income from continuing operations before income tax would be 68 billion yen, and the net income would be 42 billion yen. The earnings per share is 333.51 yen. And the average assumed foreign exchange rate is at 115 yen to the dollar and 135 yen to euro. When we look at the market, our focus in the market is that when it comes to the automotive market, it would be steady again and the [indiscernible] other ITC market for the North America and China and that’s the passive components and the rechargeable batteries will be more favorable than the last year, and then also when it comes to HDD Heads. Now we expect there to steady growth for our business with the data center business. And on top of that also in the foreign exchange and we expect that the basic depreciation of the yen will continue and will push up our business. So that’s why we revised that our forecast upwardly. Next, let me talk about also a five business with including three major segments will expand revenues and the profits in a well-balanced way. This is the forecast of the dividend payments and this is a year-end dividends was set up to be 40 yen, but now we trying to increase by 10 yen per share to the 50 yen. And last of all, our financial status is that, total assets is 1,425.8 billion and now about 113.5 billion and more than end of September. And then also when it comes to the stockholders’ equity, the 745.8 billion yen and 72.1 billion yen more than the end of September and then also now 16.2 billion yen is - and then also when it comes to the cash and cash equivalents minus the interest-bearing debt is the minus 1.9 billion yen. And when it comes to equity ratio, we have 52.3 billion yen at 32.3%. And there was 1% more. And when we deducting the cash and cash equivalents, the interest-bearing debt is about 1.9 billion yen, so these are almost no debt in the financial status. That’s all my presentation. Thank you very much. Thank you.
End of Q&A: